Operator: Good afternoon, and welcome to Marvell Technology Inc. Fourth Quarter and Fiscal Year 2026 Earnings Conference Call. [Operator Instructions] Please note that this event is being recorded. I will now turn the conference over to Mr. Ashish Saran, Senior Vice President of Investor Relations. Thank you. You may begin.
Ashish Saran: Good afternoon, everyone. Welcome to Marvell's Fourth Quarter and Fiscal Year 2026 Earnings Call. Joining me today are Matt Murphy, Marvell's Chairman and CEO; Willem Meintjes, CFO; Chris Koopmans, President and COO; and Sandeep Bharathi, President, Data Center Group. Let me remind everyone that certain comments made today include forward-looking statements, which are subject to significant risks and uncertainties that could cause our actual results to differ materially from management's current expectations. Please review the cautionary statements and risk factors contained in our earnings press release, which we filed with the SEC today, and posted on our website, as well as our most recent 8-K, 10-K, 10-Q and other documents filed by us from time to time with the SEC. We do not intend to update our forward-looking statements. During our call today, we will refer to certain non-GAAP financial measures. A reconciliation between our GAAP and non-GAAP financial measures is available on our earnings press release. Let me now turn the call over to Matt for his comments on the quarter. Matt?
Matthew Murphy: Thanks, Ashish, and good afternoon, everyone. Let me begin by extending a warm welcome to the Celestial AI and XConn team. We recently closed both acquisitions and the teams are working closely together with joint product road map discussions in full swing with customers. These highly strategic additions further strengthen our technology platform and significantly enhance Marvell's position in the rapidly emerging AI scale-up networking market. I'll provide additional detail on these acquisitions later in today's call. Now turning to our results and business outlook. For the fourth quarter of fiscal 2026, Marvell delivered record revenue of $2.219 billion, reflecting 7% sequential growth. Revenue exceeded the midpoint of guidance, driven by strong demand in our data center end market. As a result, non-GAAP earnings per share of $0.80 exceeded the midpoint of guidance by $0.01. Turning to our full year results. Fiscal 2026 was an exceptional year for Marvell. Revenue grew 42% year-over-year to approximately $8.2 billion as reported, and approximately 45% year-over-year, excluding the divested automotive Ethernet business. Our data center revenue surpassed $6 billion, growing 46% year-over-year. This performance was driven by robust demand for our interconnect, switching and storage products, along with a strong ramp in our custom business, which doubled in fiscal 2026. As we begin fiscal 2027, we are seeing very strong demand across our entire data center portfolio with bookings accelerating at a record pace. This robust demand is reflected in our guidance for the first quarter of fiscal 2027, the total company revenue forecasted now to grow 8% sequentially at the midpoint to $2.4 billion. Looking ahead, we expect to grow revenue every quarter this fiscal year at a similarly strong sequential rate, which would result in Q4 revenue exceeding $3 billion exiting this year. This forecast also implies that our year-over-year revenue growth rate will accelerate each quarter throughout fiscal 2027. As a result, we now expect overall Marvell revenue in fiscal 2027 to grow more than 30% year-over-year, approaching $11 billion. Notably, this outlook is meaningfully higher than what we communicated in our prior updates. Some of you may recall, in September 2025, during an investor call hosted by JPMorgan, we provided a fiscal 2027 revenue outlook of approximately $9.5 billion, which at that time was received positively as it was significantly higher than the market expectations. In our December 2025 earnings call, as CapEx growth forecasts continue to increase, we updated our fiscal 2027 revenue forecast to approximately $10 billion. Today's outlook approaching $11 billion raises our forecast by almost another $1 billion. Importantly, this outlook is driven by Marvell's organic businesses as the recently closed acquisitions are not expected to contribute meaningfully until fiscal 2028. The increase in our overall revenue outlook is all being driven by our data center business. Since December 2025, cloud CapEx expectations have continued to increase, and we have seen our bookings continue to accelerate. As a result, we now see our fiscal 2027 data center revenue growing by 40% year-over-year. We expect all our key product lines in data center to be stronger than our prior outlook. Notably, we expect our interconnect business to more than 50% year-over-year, well above our prior expectation of 30% growth. For our communications and other end market, we expect 10% revenue growth in fiscal 2027. Looking ahead to fiscal 2028, while we assume the rate of CapEx growth moderates from the current fiscal year, we expect continued robust data center revenue growth for Marvell. We expect our interconnect business to significantly outpace cloud CapEx growth, our custom business to at least double year-over-year, and our Ethernet switching business to continue to ramp meaningfully. In addition, we expect Celestial AI and XConn to contribute approximately $250 million in aggregate revenue in fiscal 2028. As a result, we expect data center revenue and fiscal 2028 to grow close to 50% year-over-year. Achievement of our forecast would result in three straight years of data center revenue growth compounding at well over 40%. For our communications end market, we continue to expect low single-digit percentage revenue growth in fiscal 2028, consistent with our prior view. So in aggregate, we expect Marvell's overall revenue in fiscal 2028 to grow close to 40% year-over-year, reaching approximately $15 billion, roughly $2 billion higher than the outlook we provided in our December earnings call, and driving our non-GAAP EPS to well over $5. This outlook is based on demand we are seeing now and designs that are already in execution. As we progress through the fiscal year, we plan on remaining closely aligned with our customers as we expect them to continue to invest in AI infrastructure. With that, I'll provide more context on our numerous growth drivers across our end markets, beginning with data center. In our data center end market, we delivered record fourth quarter revenue of $1.65 billion, representing 9% sequential growth and 21% year-over-year growth. Revenue exceeded our guidance, driven by increased demand across our interconnect portfolio. We achieved sequential growth across all key product lines, including optical interconnects, custom silicon, switching and storage. Looking into the first quarter, we expect our data center revenue to grow approximately 10% sequentially, including a seasonal sequential -- including a seasonal sequential decline in on-premise data center revenue. Let me now highlight the broader trends across both our established data center businesses and our newer growth initiatives, including recent acquisitions. I'll organize the discussion into three categories. Interconnect, switching and custom. I'll begin with Interconnect, where we offer the industry's broadest and comprehensive high-speed connectivity portfolio, addressing scale out, scale across, and scale up networking. In our scale-out PAM franchise, demand remains robust for our 800-gig products. We are also seeing very strong bookings from multiple Tier 1 customers for our 1.6T solutions which entered production in the second half of fiscal 2026. Reflecting this demand in our first-to-market technology leadership, we expect our 1.6T revenue ramp -- to ramp very rapidly in fiscal 2027 with substantial additional growth projected in fiscal 2028. As a result, we expect to continue to maintain leadership in the PAM market at 1.6T just like we have at every PAM generation. Marvell is the first company to productize 200-gigabit per lane technology, enabling the 1.6T transition now underway. While this generation is expected to continue to grow through the end of the decade, Marvell has already demonstrated 400-gig per lane technology. We expect that this will position us to enable the industry's subsequent transition to 3.2T, once 1.6T reaches full maturity. To support campus-wide data centers requiring longer reach than traditional PAM solutions, Marvell has introduced Coherent light, optimized for 2 to 20-kilometer applications within a highly power-efficient outlook. We have already begun shipping first-generation 1.6T Coherent light products and are now introducing a second generation with integrated MACsec security. Turning to scale across interconnects, a technology we pioneered with our 100-gig DCI modules, we continue to lead the market with Coherent 400-gig and newer 800-gig solutions. We are winning new customers and expect to supply DCI modules to all five major U.S. hyperscalers this year. We see significant long-term growth in this market, as the global data center footprint expands and bandwidth requirements between data centers continues to increase. Industry forecasts project that DCI pluggable TAM to grow by more than 5x by calendar 2030, with speeds doubling each generation and feature complexity increasing, including the integration of MACsec. To that end, earlier today, we announced our latest innovations and scale across interconnects, including the industry's first Secure 1.6T ZR and ZR+ DCI modules powered by our new 2-nanometer Coherent DSP. We also introduced a new 2-nanometer 800-gig DSP, which enables second-generation lower-power 800-gig DCI modules. DCI modules powered by these 2-nanometer MACsec-enabled DSPs are expected to begin sampling later this year. This positions Marvell to maintain technology leadership, supported by our proven expertise in large-scale manufacturing of these highly specialized and complex modules. Now let's move to scale-up interconnects, which is an entirely new and rapidly emerging market. We are very excited about what we believe to be a massive opportunity unlocked by Celestial AI's photonic fabric, or PF technology, as well as growing customer traction for our AEC and retimer solutions. As discussed last quarter, Celestial AI's PF technology is expected to enable large-scale commercial deployment of CPO for scale-up connectivity starting next year. Our chiplets will be co-packaged into both custom XPUs and the scale-up which is connecting them together on both sides of the length. With the acquisition now complete, Marvell's engineering and operations teams are fully engaged in bringing Celestial's first generation chiplet into high-volume manufacturing. We remain on track for our forecast for our CPO revenue from Celestial to reach a $500 million annualized run rate in the fourth quarter of fiscal 2028, doubling to a $1 billion annualized run rate by the fourth quarter of fiscal 2029. We have seen strong interest from a broad range of customers in Celestial's photonic fabric technology following the deal announcement. We look forward to updating on our progress in the scale-up interconnect market, which we believe could exceed $10 billion by 2030. In the AEC market, we have secured design wins with 3 Tier 1 U.S. hyperscalers and several additional customers, including model builders and hardware OEMs. We are also seeing strong traction for our retimers. As a result, we expect combined AEC and retimer revenue to more than double year-over-year in fiscal 2027. We continue to innovate through our Golden Cable initiative, a strategic program that delivers a complete solution, including industry-leading software and validated reference designs, enabling ecosystem partners to rapidly design and deploy AEC products at scale. Hyperscale customers benefit from access to multiple high-volume cable OEMs offering fully compatible AECs, both on the same high-performance Marvell DSP and reference design. Turning to data center switching, we delivered strong growth in fiscal 2026 with revenue exceeding $300 million, driven entirely by scale-out applications. Given sustained demand for our current 12.8T products and a strong ramp of next-generation 51.2T products, we now expect data center switch revenue in fiscal 2027 to surpass $600 million, up from the $500 million we had indicated last quarter. We are seeing strong engagement from both existing and new customers for our 51.2T platform, and our upcoming 100T platform, which we begin to -- should we expect to begin sampling in the first half of this fiscal year. Our 100T switch delivers industry-leading power efficiency and lower latency, attributes that are especially critical for AI applications. In scale-up switching, the combination of Marvell and XConn creates a significantly larger team to address rapidly emerging UAL and Ethernet-based opportunities. UA Link builds on decades of PCI ecosystem development and incorporates high-speed interface innovations from Ethernet to meet the bandwidth, latency and reach requirements of next-generation accelerated infrastructure. XConn expands Marvell's switch team with deep PCIe switching expertise, enabling a comprehensive -- enabling comprehensive support to customers building next-generation AI platforms. We are fast tracking our scale-up switch road map by leveraging our extensive experience in developing large reticle size scale-out switch chips, and best-in-class in-house high-performance series. We remain on track to sample our UALink 115T solutions in the second half of this fiscal year with volume production expected in fiscal 2028. In parallel, we continue to advance the Ethernet-based road map with key customers. We're able to further enhance our scale-up road map by enabling integration of our CPO technology from Celestial directly with our switches, delivering a purpose-built, fully optimized end-to-end optical scale-up platform. XConn also adds advanced PCIe and CXL switch solutions, another completely incremental TAM for Marvell. The PCIe Gen 6 and CXL 3.1 solution is based on a monolithic switch architecture supporting up to 256 lanes, delivering the industry's highest ratings and lowest latency. PCIe switching remains foundational in standard compute architectures connecting CPUs to peripherals and increasingly an AI infrastructure to connect CPUs to XPUs. In parallel with next-generation protocols like UALink, PCIe is also adopted for XPU to XPU connectivity, particularly in AI inference systems and small- to medium-sized clusters. CXL is rapidly becoming essential for memory disaggregation in modern data centers. We have been investing in CXL for several years and XConn switching portfolio, combined with Marvell CXL memory expanders create the industry's most comprehensive CXL platform. XConn was already engaged with more than 20 customers prior to the acquisition. As part of Marvell, XConn now benefits from our global sales and marketing reach and strong presence in the data center. As a result, we expect to drive strong growth in both the PCIe and CXL switch markets over the next several years. Turning now to our custom business. This remains one of the most compelling growth drivers for Marvell. In just a few years, we have scaled from zero revenue to $1.5 billion in fiscal 2026. As you may recall, the first meaningful ramp again in the second half of fiscal 2025. Fiscal 2026 marked the first full year of production for those programs. And as a result, we doubled our customer revenue year-over-year. We expect custom revenue to grow more than 20% year-over-year in fiscal 2027, higher than our prior view. We continue to see growth from our Lead XPU program this year, including a transition to its next generation. As I noted last quarter, we have purchased orders covering the entirety of this fiscal year's forecast for this next-generation program and are now ramping production. In addition, we are expecting the growth to continue in fiscal 2028 from this program. We are also deeply engaged on the follow-on generation of this XPU. In addition, several XPU attach programs are ramping in fiscal 2027, including our initial CXL and NIC products. CXL demand is accelerating, partly driven by tight memory supply. Our custom CXL expanders enable customers to reuse prior generation DRAM with new XPUs, GPUs and CPUs, while also supporting near-memory compute operations. A recent white paper from a leading hyperscaler on next-generation LLM inference architectures highlighted, near-memory processing is a key opportunity to improve model performance. They cited Marvell's structure a processor as an example of a CXL-enabled solution that improves programmability and simplify system integration. This all provides a great setup for fiscal 2028, where we continue to expect custom revenue to at least double year-over-year from three primary drivers. First, continued growth from our existing custom programs. Second, multiple XPU attach programs reaching high volume, particularly in custom NIC and CXL applications. As I mentioned last quarter, we have line of sight to revenue exceeding $2 billion by fiscal 2029 from just these two use cases, and we expect to make significant progress towards that outlook through fiscal 2028. Third, our new Tier 1 XPU program ramping into high-volume production. This program has continued to progress well -- very well through development, and we have firm volume requirements for all of next year and are planning for high-volume manufacturing. Beyond programs already won, we are encouraged by strong new design engagements with both existing and new customers. Custom compute is proliferating across the hyperscale ecosystem with inference optimized hardware becoming increasingly important. We are seeing an unprecedented level of activity across multiple new engagements as hyperscalers increased their cadence of custom chip development. We are engaged in deep technical discussions on innovative new architectures, and are seeing a massive opportunity on 2-nanometer and below process technologies. Okay. Turning to our communications and other end markets. We delivered fourth quarter revenue of $567 million, up 2% sequentially and 26% year-over-year. For the first quarter, we expect low single-digit sequential growth on a percentage basis and approximately 30% year-over-year. In summary, we concluded fiscal 2026 on a strong note with revenue growing 42% year-over-year and non-GAAP EPS increasing 81%, roughly twice the rate of revenue growth, demonstrating the strong operating leverage in our business model. Fiscal 2026, we were very active on the M&A front, divesting our automotive Ethernet business for a double-digit revenue multiple, and rapidly redeploying the proceeds into two highly strategic acquisitions. These positioned Marvell at the forefront of the large and incremental AI scale-up networking market. At the same time, we continue to execute our capital return program returning $2.245 billion to stockholders through share repurchases and dividends. So far in fiscal 2027, we are seeing strong bookings across our entire data center portfolio with customers signaling robust demand not only for this year but for the next several years. We believe we are still in the early stages of a strong multiyear growth cycle for Marvell. Our first quarter fiscal 2027 guidance represents 27% year-over-year growth at the midpoint, reaccelerating from 22% in the prior quarter. We expect year-over-year growth to accelerate each quarter throughout fiscal 2027, with revenue exiting the fiscal year at over $3 billion in the fourth quarter. We have raised our fiscal 2027 forecast meaningfully. And in fact, the revenue growth rate we are projecting today for fiscal 2027 is roughly double the outlook we provided just a few months ago in September. This is an exciting moment for Marvell. I want to take a moment to thank our global team for staying focused despite the external noise, and delivering consistent execution, which has enabled record results and positioned us to capitalize on what we expect will be a massive AI opportunity ahead. I look forward to updating you on our progress in the coming quarters. With that, I'll turn the call over to Willem for more detail on our recent results and outlook.
Willem Meintjes: Thank you, Matt, and good afternoon, everyone. Let me start by summarizing our full fiscal year 2026 results, which were very robust across the board. In fiscal 2026, Marvell delivered $8.195 billion in revenue, growing 42% year-over-year. This growth was primarily driven by AI demand in our data center end market, as well as the continuing recovery in our communications and other end markets. For the full year, on a GAAP basis, our gross margin was 51%. Operating margin was 16.1%, and earnings per diluted share was $3.07. On a non-GAAP basis, our gross margin was 59.5%. Operating margin was 35.3%, expanding by 640 basis points year-over-year, and earnings per diluted share was $2.84, growing 81% year-over-year. We also significantly increased capital returns to our stockholders, returning $2.245 billion through share purchases and dividends in fiscal 2026, an increase of approximately $1.3 billion from the prior year. Moving on to our financial results for the fourth quarter of fiscal 2026. Revenue in the fourth quarter was $2.219 billion, growing 22% year-over-year and 7% sequentially. Our data center end market was 74% of total revenue, with our communications and other end markets contributing the remaining 26%. GAAP gross margin was 51.7%. Non-GAAP gross margin was 59%. Moving on to operating expenses. GAAP operating expenses were $744 million, including stock-based compensation, amortization of acquired intangible assets, restructuring costs, and acquisition-related costs. Non-GAAP operating expenses came in at $517 million, in line with guidance. Our GAAP operating margin was 18.2%, while our non-GAAP operating margin was 35.7%. For the fourth quarter, GAAP earnings per diluted share was $0.46. Non-GAAP earnings per diluted share was $0.80, above the midpoint of guidance, reflecting year-over-year growth of 33%. Now turning to our cash flow and balance sheet. In the fourth quarter cash flow from operations was $374 million. Our inventory at the end of the fourth quarter was $1.39 billion, growing $374 million from the prior quarter. Our working capital has increased to support the significant revenue growth we are driving. During the quarter, we repurchased $200 million of our stocks through our ongoing capital return program, and returned $51 million to shareholders through cash dividends in the quarter. We expect to continue to return capital through repurchases and dividends. As of the end of the fourth quarter, our total debt was $4.47 billion, with a gross debt-to-EBITDA ratio of 1.38x, and a net debt-to-EBITDA ratio of 0.57x. Our debt ratios have continued to improve as we have driven an increase in our EBITDA. Turning to our guidance for the first quarter of fiscal 2027. We're forecasting revenue to be in the range of $2.4 billion, plus or minus 5%. We expect our GAAP gross margin to be between 51.4% and 52.4%. We expect our non-GAAP gross margin to be between 58.25% and 59.25%. Looking forward, we anticipate that the overall level of revenue and product mix will remain key determinants of our gross margin in every -- in any given quarter. We project our GAAP operating expenses to be approximately $872 million. We anticipate our non-GAAP operating expenses to be approximately $575 million in the first quarter. This is stepping up from the prior quarter due to the typical seasonality in payroll taxes, and employee salary merit increases, as well as the addition of Celestial AI and XConn. The two acquisitions in aggregate are expected to add approximately $75 million to our fiscal 2027 annual non-GAAP operating expenses. We expect our GAAP other income and expense, including interest on our debt, to be an expense of approximately $51 million. We expect our non-GAAP other income and expense, including interest on our debt to be an expense of approximately $48 million. We expect a non-GAAP tax rate of 11%. We expect our basic weighted average shares outstanding to be 876 million, and our diluted weighted average shares outstanding to be $883 million. We anticipate GAAP earnings per diluted share in the range of $0.26 to $0.36. We expect non-GAAP earnings per diluted share in the range of $0.74 to $0.84. As we look ahead to the rest of fiscal 2027, we will continue to invest in growing our business while driving operating leverage. On a sequential basis, we expect non-GAAP OpEx to remain flat in the second quarter and then grow in the low to mid-single digits on a percentage basis in each of the third and fourth quarters, well below the rate of revenue growth Matt provided in his remarks. We are seeing strong growth from our existing franchises and scale out and scale across AI as well as custom, and we are investing to drive new revenue streams from the rapidly emerging AI scale up market. We have entered a robust multiyear growth period and are looking forward to delivering strong earnings growth to our stockholders. With that, we are ready to start our Q&A session. Operator, please open the line and announce Q&A instructions. Thank you.
Operator: [Operator Instructions] Your first question comes from Ross Seymore with Deutsche Bank.
Ross Seymore: Matt, thanks for all the updates on the out year and well, fiscal year, both this and next. Beyond the magnitude of the revenue growth, can you just talk about the profile of it? Is the customer base broadening? People are always worried especially in your custom business about the concentration of it. So I just wanted to get a little bit more color on the shape of the demand from a customer perspective?
Matthew Murphy: Yes. Thanks, Ross. Well, first of all, we're deeply engaged across the entire ecosystem, extremely strong position with the top four U.S. hyperscalers and then the next level. And each of them, we have a different concentration and revenue mix. But just to be super clear, if you look at this year and you look at us driving the company to $11 billion, and then you unpack things like custom, it's not that big a percentage of the total. So that's not what's driving our concentration. I mean by design because of the top four U.S. hyperscalers is spending the bulk of the CapEx, that's where the dollars are going to go. But we're quite diversified across each of them. And some of them we sell a different mix, obviously, of product to. But in the case of all four, within our portfolio, which I just went through the laundry list of all the different types of products that we provide, we're highly diversified within each of these customers. So -- so yes, custom is something that gets a lot of attention. But if you just look at the numbers I gave you and the context as I said, it's a piece of the equation, but not all of it. And then over time, even on the custom business, as you look out through fiscal '28 and fiscal '29, Remember, we've got 20-plus design wins, or products now, sockets that are either in production or going into production, it's going to layer in across all those companies as well. So the diversification is only going to get better over time. But we're very unique in sort of the breadth I think of the products that we offer and the product lines we have to really serve end-to-end the needs of all of our key hyperscalers. And the last two M&As we just did really round that out nicely in terms of adding PCIe, getting -- beefing up the UAL, and then also adding key silicon photonics capabilities.
Operator: Your next question comes from Harlan Sur with JPMorgan.
Harlan Sur: Congratulations on the strong results and execution. Matt, on your custom XPU and XPU attached subsegment, OpenAI recently inked a partnership with your lead XPU, customer to consume, I think, something like 2 gigawatts worth of your lead customers, next-gen and next-gen XPU. So it feels like the overall demand for AI compute continues to accelerate. Right on top of that, like you said, you're ramping 15 to 20 XPU attached custom programs this year and next year. Within our better outlook for custom this year, and with you already starting to ramp your lead customers next-gen XPU program, do you still anticipate a stronger second half step-up of this XPU program? Or is it more of a linear ramp through the year now? And I think you previously thought that you would exit this year with custom driving about a $2 billion sort of annualized growth rate. What does that exit run rate look like today?
Matthew Murphy: Yes. Thanks, Harlan. I think the first part of your question is absolutely seeing strong validation in the market for the AI compute spend, and the fact that a significant portion of that continues to go to companies that are building their own XPUs. So that's a positive trend. We certainly see it. And you're right. Even where we don't necessarily have the XPU, we have XPU attached. So all the XPU attached is going with XPUs in customers where we're not participating. So we're -- we participate across every one of those large companies and more on XPU attached. So that's a very positive trend for us that's driving our positive outlook for sure through this year, which we said custom was going to grow faster than we thought, but more meaningfully into fiscal '28 and '29. And then from a linearity perspective, under the hood, we kind of give you a view of what the sequentials would look like throughout the year. But yes, custom, we have said was going to be a stronger second half due to a program transition. That's still the case. And that -- the type of exit rate you're talking about is certainly still intact and probably has an upward bias to it. If you look at the exit rate we're talking about for the whole company now, we're looking at north of $3 billion. So within that custom continues to have some real upside to it. But that's going to improve meaningfully and the revenue growth is going to continue into fiscal '28 which is basically those programs from the second half now having a full year. So that's going to provide some nice growth. Content increase, then layering in the XPU attach, and then layering in our new program with a new Tier 1 hyperscaler, which is in its early stages, but just even the rough plug we have for them, is significantly lower than actually the wafers that we're planning on starting the material and the production plan we have with our manufacturing supply chain. So I think it's a very reasonable setup for next year with a lot of upward bias depending on if these trends continue.
Operator: Your next question comes from Aaron Rakers with Wells Fargo.
Aaron Rakers: I guess my first question is on the optics, the electro-optics business. I know Matt, you've talked about in the past that your ability to kind of outgrow the pace of what we're seeing in CapEx spend. So I guess my question is, we've seen some massive upward provisions in CapEx. I think most people look at that and say, "Hey, we're looking at like 60% plus growth this year." Do you think you can grow at that level? And how do you think about the durability of that growth as we move into fiscal '27 -- or fiscal '28?
Matthew Murphy: Yes. Aaron, your observation is absolutely correct. And that's why even as we look at the upward momentum we see in the business for this year, a big part of that change is in that electro-optics portfolio. We had been calling it kind of closer to CapEx as we were modeling what we thought we could do this year back in the September call and then even in the -- in my December call. But now it's clearly growing more like -- more like accelerator growth and more like this sort of accelerated CapEx growth. So yes, it's growing like 50% plus this year now. And that momentum is going to continue, okay, into fiscal '28. A couple of things are happening there. The first is that as new XPU, GPU, et cetera, generations are released. There is -- we are seeing some increased concentration on the attach rate of optics. So that's a positive. You get more 1.6T, which has just -- because of its performance, commands higher ASP. So that's going to roll in. And then we have -- yes, we just have some pretty new exciting programs happening in that area. So that business has been growing at like 50% a year-ish. You can give it plus or minus, I get the exact data. But it's been at that rate for some time since we acquired Inphi and the data center stuff really took off. We see that continuing not only through fiscal '28, but that momentum should continue beyond that. Maybe it's not the exact same magnitude, but it's significant. We have a real head of steam on the electro optics business at Marvell.
Operator: Your next question comes from Blayne Curtis with Jefferies.
Blayne Curtis: Matt, I don't want to ask on the custom business. So I think you feel very confident about the trajectory. I'm just kind of curious, one, can you just help us with '26? Because I mean, you have the big broad swath, but I mean, is that custom business growing 30% this year? I just want to figure out the base that you're going to double. And can you talk about that second major XPU customer? I mean, kind of give this type of guidance, like what kind of confidence do you have in the timing of that program?
Matthew Murphy: Sure. Yes. And I think you're talking about -- just to be clear, calendar '26, fiscal '27 set on custom, kind of what numbers are we talking? Is that the first question? The second one is the...
Blayne Curtis: Yes, sorry, your fiscal year. But yes, fiscal '27 is at around 30%. And then your confidence level on that second major XPU customer and timing as we try to layer that in to get to that double?
Matthew Murphy: Yes, great. And by the way, I don't feel bad. I've been in this job for 10 years, and I still have to translate every day between my fiscal year on my calendar year. So don't feel bad. For fiscal '27 we had been indicating after the double from last year, it would grow 20% this year. So we're just saying that's north of that. So I'm -- I can't give you the exact number now, but it's biased upwards, but it's just -- so just take what I read before that 20%, you can make an estimate but higher, but not significant enough where I would like give you a new number, but just say it's biased higher. So in the ballpark, but higher. So then next year, obviously, gets a little bigger than we thought. And then the reason we're confident is we have line of sight in terms of -- well, first of all, we have history, right? We've built these large scale custom programs before. We've done these ramps before. We have a good sense of when the product is going to go through its key milestones through NPI. We have had very detailed discussions and alignment around the manufacturing plan, and we've aligned up a corridor for fiscal '28 for production on this that would be a lot higher than what I'm indicating to you. I think we're budgeting at the moment for -- is there a delay? Does it take longer, et cetera. And plus, I think at the moment, it seems like a lot of folks aren't really believing it's maybe going to do anything. But I think our plug is very, very reasonable for next year Blayne in terms of what's there. And I think it would bias quite a bit higher if we could just achieve what we're planning on reserving in terms of capacity. So more to come there. But I think we try to call the ball as best we can. And in general, we've done a pretty good job over the years of trying to size and judge things in advance. And then usually, we're pretty good and then they're biased upwards. So we'll see where it lands. But I think it's not a big stretch for this custom business to double next year.
Operator: Your next question comes from Ben Reitzes with Melius Research.
Benjamin Reitzes: Matt, nice to see the beat and raise. I wanted to ask the question about what got better in a different way? I mean, if you could just unpack since December, the $2 billion, especially the -- how fiscal '28 got $2 billion better since December? What -- if we can unpack that and what exactly got better? And then potentially, I'm going to be a little greedy, what can carry into the next year as well, calendar '28 of those signs that you saw since then?
Matthew Murphy: Yes. Thanks, Ben, and great to hear from you a long time. So I think -- one is you just kind of look at it as progression. I mean, it's the first point I'd make is we tried to give a view for investors to be helpful because there's a lot of concern and angst back at the end of last year. So in September, we talked about 9.4-ish for this year. And then that's now -- in December, we said that looks more like 10, and now I'm saying it's more like 11. So some of that is just the progression in terms of time and getting better visibility and more concrete. And then that just ripples into the -- I'll use calendar for a second, calendar '27. But on top of that, I mean, one, we've now got very firm requirements and understand the profile, in particular the interconnect business. And that is, I think we had called it very conservatively, to be frank. And I think even a few analysts last quarter kind of [ dinged ] us saying, well, you're plugging your interconnect business at CapEx, but it really looks more like it should be tied to GPU, XPU. And that's really the case. So I think we're seeing that now in terms of the forecast. So that's come up quite a bit, which then again, the upward revisions we're seeing for this year then ripple into next year. And then I'd say this is all underwritten Ben, by extremely strong bookings and backlog layering in and then the detailed conversations with our customers around supply planning. It's just given us a much more concrete view. And by the way, the other reason I think it's important and why we felt it was important to continue to update on this metric is that we set targets back in April of '24 for calendar '28. We did that around some assumptions around data center market share of 20%. And those numbers looked enormous at the time we talked about it. I think you guys were there. We were doing low billions a quarter in revenue at that time. $1 billion -- I think we had guided $1.1 billion or $1.2 billion when we put out this number that was like $15 billion in data center revenue in four years. And I think everyone thought we were nuts. At our June AI investor event, we said the TAM went up, so that data center revenue bogey kind of moved up to like if you just did the math, moved up to more like $18 billion and change. But now you kind of look at it and you see where we're landing in calendar '26. And now we're sitting here in '27. I mean, it's -- we're very much on track actually to those targets that we had set Ben. And so in a way, yes, it's some upward revisions and that's part of it is just because we have more data, but it actually is also validating, I think, the plan we set actually four years ago about what we thought we could go off and do, which were very lofty ambitions, and we're not there yet, and we have to go execute like crazy me and the whole team. But we're very encouraged by what we're seeing, and the proof is in the pudding that we're getting in terms of the backlog forecast and alignment with our entire supply chain to be ready to go make that happen both this year, next year and in calendar '28.
Operator: Your next question comes from Tom O'Malley with Barclays.
Thomas O'Malley: I think in the preamble, Matt, you talked about AEC and retimers more than doubling in the fiscal year. Could you maybe give us some perspective on the base there? And then you've been really helpful in the next few years kind of giving the contributing factors of what is a pretty impressive growth profile. Maybe talk a little bit about how much that can contribute in this broader overview?
Matthew Murphy: Yes. Tom. Yes, this is still an emerging area for us. So we're -- it's doubling -- over doubling this year, but it's probably in the $200 million range is what I would say. I mean, we actually -- I think based on some of the things we're looking at, maybe that goes higher, but that just gives you a sense of the magnitude. But it's going to keep going from there. I mean this is -- we've seen this in a lot of our emerging product areas when we get into them. Once they start doubling, they kind of keep doubling, and you know this market quite well. There's quite a bit of room, I think, for a bunch of people to participate. So yes, we're very encouraged by what we see based on the traction we have on our products, especially on product leadership. We leverage a lot of our DSP and PAM technology in this area. We inflected when both on the retimer side and AECs move from NRZ to PAM, and that was -- that was our kind of conscious decision to do that. So we're earlier in the cycle because we're coming in, in later generations than some of the existing sockets, but we intend to really invest here in a significant way and participate. Over the long term, we see that as complemented. There's a place in the market for this, and we're going to participate. But obviously, we made the bet when you go back to even the Inphi acquisition five years ago on optics and pluggable optics, in particular, and then now with Celestial also, on CPO on the scale upside. So there's a period of time we're going to participate. I think it's going to be great, and the business is going to do well and it leverages what we have. And I think it's going to be just part of our goal to be the end-to-end provider for our customers of all of these types of solutions. From electrical to optical to silicon photonics various reaches various distances, various form factors. And that's what our customers are looking for, okay? They want to have an interconnect partner that could be the one-stop shop and do it all and have high amounts of leverage on the IP, so they can trust it, because we do it ourselves and also on the firmware and the software, and the system implementations, they also want to make sure that they have reusability. So it's been a virtuous cycle here, just the scale-up part relative to the scale out is smaller but growing rapidly.
Operator: Your next question comes from Vivek Arya with Bank of America Securities.
Vivek Arya: Matt, I just wanted to first clarify what your XPU attach was last year and what contribution you expect in '27 and '28? And then, kind of, my more strategic question is, when we look at the pattern of your first large XPU program, right, you had a very strong start, followed by competition from another supplier. How would you handicap kind of your exclusivity at the large new XPU customer you plan to start at next year?
Matthew Murphy: Yes. Thanks, Vivek. So maybe I'll answer the second one first. So yes, we're -- I think you're asking specifically about our newer program that would ramp next year, and we feel very good about our position. These are very deep engagements we have with our customers. We're two hands on the steering wheel on this. This is multi-generational in nature. Given the rate of innovation and the pace that the technology is moving at, it's really in everybody's best interest to plan, not just one generation out but even farther. And so we've really been able to do that, I think, across the Board with our customers. And so we feel really good about our position there. And the sustainability of that. It still needs to ramp obviously. But certainly, the CapEx envelope is out there to really consume a lot of product, and we're very encouraged by what we see from a road map perspective. And we're investing heavily as a company to be there across the board on all of the key attributes that these big XPU customers care about. So I think more to come on that, as well as future opportunities on XPU for the company. But we feel very good about our position in the next few years in terms of line of sight to hitting the revenue targets that we talked about over the last couple of years and then growing beyond that. And then, yes, I'm sorry, then the -- on the XPU attach, we [ can't ] give the exact numbers, but just maybe big round numbers. And maybe we'll first start with the line of sight just on the NIC and CXL I gave you, which was kind of $2 billion out in '28, and then you layer more on that. So -- and by the way, just -- we had sized for everybody on the call, the XPU attached TAM in the future at about $15 billion in calendar '28. We didn't break it out exactly, but we had a total market share goal of about 20% in that time frame. So I'll just call that $3 billion, we're driving in that area. So let's take a step back now. XPU attached probably in the couple of hundred million ballpark say like this last year, doubling this year, maybe over doubling again the year after. So I think by next year, this thing is probably a $1 billion type business. We'll see how it all shakes out. It's all going to happen under the hood of our custom business with that. But just to give you a sense, it's on a massive trajectory upward, and it's in that category of kind of double plus each year.
Operator: Your next question comes from Tore Svanberg with Stifel.
Tore Svanberg: Congrats on the record quarter. Matt, I was hoping you could give us a bit of an update on the mix of the opto electronic business. So you talked about 1.6 already shipping. But my understanding is that 800-gig is definitely going to be the bigger volumes this year. So any sense for what the mix is going to look like for fiscal '27 between 1.6, and I guess, 8 and even some 400?
Matthew Murphy: Yes. Well, I think you got it right. First of all -- and we've been saying this for a while that 800 was going to be sort of stronger for longer, and I think that was our mantra even last year. And that's still the case for sure. But as I mentioned in the prepared remarks, we had significant shipments actually of 1.6T at the end of last year, and it's going to ramp again pretty hard this year. But 800 will still be the majority. I think it's going to take probably through -- I mean, even next year, 800 is still going to be strong. So I can't give you the exact breakout at the moment, Tore, but part of the -- I think, the uplift as well in terms of just our outlook for interconnect for the year was also based on, kind of, all of our customers revising up in terms of what they were going to need, but maybe a little bit more pronounced in 1.6T and it's really ramping strong with those initial customers we had and more will layer on throughout the year and next year. So yes, maybe more on that later, Tore, but probably not in a position to give you the exact number. And also, I'd say the reason why too, is it's been moving around a lot. I mean, this has been very dynamic in terms of the bookings environment and the demand environment. So I think the mix will have a better view of what that looks like as we progress throughout the year.
Operator: Your next question comes from Joe Moore with Morgan Stanley.
Joseph Moore: With all the growth that you're looking at here, I wonder if you see anything on the supply chain, that could be challenging for you. My sense is you've come a long way in terms of supply chain management since a couple of years ago, but just any updates there would be great?
Matthew Murphy: Yes. Joe, great to hear from you. I'm going to have Chris answer that, our COO. He's been knee deep and had that job for about 5 years, and he's knee-deep in the supply. So Chris, go ahead.
Christopher Koopmans: Yes. Thanks, Joe. Look, we've been in a tight supply environment for anything that touches AI, advanced node wafer fabrication, advanced packaging, large body substrate since the launch of ChatGPT. And against that backdrop, to your point, we were still able to grow the company north of 40% in total revenue last year. So we clearly have very, very good relationships with our suppliers. But I would argue that really what helps us we've been forecasting this growth for quite some time. And by giving them multiple years of visibility of what we're going to need and ramping into these numbers is really helping us. And so I'm very confident we've secured the supply that we need for all the growth that Matt outlined this year, next year and beyond.
Operator: Your next question comes from Jim Schneider with Goldman Sachs.
James Schneider: It's great to hear the increased visibility you have business in the next year, but If I think about the guidance for $15 billion of revenue next year, and $5 of earnings, roughly speaking, that's about 15% to where I see the peak consensus being for next year's revenue, but only about half of that on the earnings side. So can you maybe unpack a bit of what are the moving pieces below the top line? Whether that's gross margin mix, or increased investments to sort of get to that? Or is the $5 number just relatively conservative?
Matthew Murphy: Jim, yes, yes, that's like just a floor like it's 5-plus. I mean you can run your own pro forma income statement. But just to give you a sense of how to think about it. So on the top line, we gave you a framework. And then you can also take, basically where we're going to exit this year and you could use whatever number you want to model finally in your model, but we're saying put in 3, or a bit more. And then if you actually just kind of roll through some of the guidance we've given you already for this year on OpEx and the moving pieces on gross margin, we actually start to get to our target operating model, margin model exiting the year. And that probably continues through the next year is a safe assumption. So the number if you put in 15, and you put in that, it probably -- it floats above $5. So that was not a prescriptive number, or a firm number. It was just a 5-plus. People are going to have their own estimates, and you guys will sort of come up with your own view. But yes, no, I'm not making any comment about any kind of margin changes, or dilution, or losing leverage at all. We're going to get leverage -- we're in the mid-30s op margins right now, if you kind of look at where we were last quarter and what we're guiding and that should float up throughout the year. And then not calling it exactly for next year, but it probably would be consistent with our -- certainly our exit rate of this year. And so that's a simple way to think about it. So it's -- that would pop out a number above $5.
Operator: And your next question is from Christopher Rolland with Susquehanna International Group.
Christopher Rolland: Matt, thanks for answering the question. So mine is around kind of big picture, like the CPO scale-up world. Perhaps if you could describe what it looks like, what it looks like for Marvell? But also in your prepared remarks, you talked about integrating Celestial, it sounds like into the Innovium platform. I was wondering, are there potentially like UALink switch trays that you might be able to integrate this into as well? And just the timing around such products would be cool.
Matthew Murphy: Yes. Great. Thanks. So yes, on the initial plan on Celestial -- and where we -- and just by the way, on the big picture side, our view pretty consistently for some time now has been that the deployment of CPO and scale out would be relatively limited relative to the -- especially relative to the amount of pluggable transceivers that we're going to get deployed. And you can go back many, many OFCs ago, and that's been our view. And that's been the case to today, for sure. And then I think on the go forward, relatively wise, it's still the case, although you may see some of the industry. That's not our current plan today, although we could absolutely do that and do that integration with the Celestial technology, and our Innovium CareLink products. And we've done POCs and we've done some work there, but we'll be ready to react to the market there, Chris, when it's needed. On the scale up, and you mentioned UAL, that's a perfect use case where that is where we see that CPO technology inflecting in a pretty big way and Celestial brought us a pretty significant design win and engagement in that area. And that's what we're trying to drive for next year. So when we ramp it next year, at the end of next year, the -- that would be serving the scale-up application and it would be both an integration of the photonic fabric chiplet into the XPU, as well as on the switch side. That's the first one. There will be a whole bunch of shipments on scale up switching that will be copper-based, and that's going to exist for some time, too. But we're seeing very, very strong interest across the board for kind of beyond the next few years of where the CPO for scale-up really starts to inflect. And this has been -- and that's sort of been our recognition over the last year or two, is that's where that's going to happen and that's why we did the M&A and we brought the team on. So to sum it all up, we'll be shipping next year CPO for scale up at one large customer, and then we're working on more for beyond that. And then the rest of those deployments would be still copper-based. I think we'll do one more question and then I'll -- I think we'll wrap it.
Operator: Our last question then will come from Mark Lipacis with Evercore ISI.
Mark Lipacis: Congrats on the great quarter. Matt, I'm wondering, when you look at these AI systems that your customers are building, it sounds like the way you're talking about it that there's a bigger bottleneck on the connectivity side and the processor side. And so -- but that would be like the part one of the question. And if you agree with that, what's the argument for, why not shift your process or resources to focus more on connectivity? It seems like your lead is a lot more obvious on the connectivity side, it's a higher margin business. That's where the bottleneck is. And seems like there's a higher chance to add more value, to get paid for that value. And by contrast, the processor side sounds like it's quite noisy on the competitive front. And I think you guys probably get dinged on multiple because of that noise. And so what's the kind of -- what's the rationale for not doing something like that?
Matthew Murphy: Yes. Thanks, Mark. It's a valid question. So first of all, on the interconnect side -- well, on your first part of your question, I'm not sure what's more of the bottleneck or not? I know for sure, the interconnect is a bottleneck, but you could also argue industry-wide, there's a lot more to do on the processing side. But just to be clear, we are absolutely investing to win on interconnect. Like we're not sort of trading anything off there. I mean we're going all in to make sure that we're the leader here. And that's why you can even see when we did our M&A moves last year, we put all that towards that market. I would say, though, at the same time, we're in the custom business. The -- and you got to break it into two pieces. On the XPU attach side, obviously, that is more margin-rich. And leverages a lot of the Marvell IP, and technology we have, and those typically are our chips that we do. And we've made quite a nice business out of that. And then on the XPU side, we want to be a big time supplier to our customers. We do get strategic advantage, okay, in being in that market though, Mark, which was actually even a reason thinking all the way back to Avera when we acquired it out of IBM -- or sorry, out of GLOBALFOUNDRIES back in 2019. And one of the reasons that I wanted to do that acquisition and get Marvell into custom -- I mean I never envisioned it would be this significant business for us. Okay. Let's be clear, back in 2019, we weren't thinking that we were going to buy an asset for $650 million, and it was going to open up a $50 billion TAM, but it did. And one of the strategic rationales that I had for that deal was that it would put Marvell in a product area where we had to be at the bleeding edge. We had to be at the bleeding edge on nodes, packaging, IP development, and it was a tip of the spear type of product line that I felt would be really good for us to really have a driving force to keep Marvell best-in-class on technology. Because at that time, we were making the move from fast follower to trying to be a technology leader. So now we're in that business. I agree with you. It's got a lot of noise around it, and it's got a lot of controversies over the last year and all the different things that have gone on, and maybe it's affected a multiple. But the fact of the matter is, we're in that business. Our customers are counting on us. We've grown that business from zero to $1.5 billion. It's going to grow again this year. It's going to double the year after. And it's going to be a significant revenue growth driver for Marvell. So I'm not compromising anything on the rest of the portfolio to be in that business. And remember as well, that business also gets significant funding and contribution from our customers who pay us NRE and put their commitment in to make sure that those programs are successful. So we do get underwritten in terms of the support to go do them. And so I'm going to keep -- at this point, I'm in the AI market. I have the full portfolio. I'm going to follow what my customers want me to do. And I'm going to ignore the noise. I mean, if you actually look at last year and all the different things that came out, and all the different noise that was out there, it was all wrong. I mean you actually analysts retracting notes. You had articles that weren't even accurate at all. I mean you had -- honestly, it was all noise. Look at our results that we're guiding, look at our outlook for this year. Look at our outlook for next year. Do you see me blinking? You don't. So yes, we're in the business. We're going to be in the business. Our customers want me to be in this business, and we're going to drive a major significant revenue company at Marvell. I'm very fired up on this topic. Thank you, Mark. All right. Ashish wrap it?
Ashish Saran: Go for it.
Matthew Murphy: Yes, I got a couple of closing statements. That wasn't it, by the way, everybody. All right. So first, thank you, everybody, for joining the call. I appreciate the interest in the company. It's always fun. Look, our business is on a very strong trajectory, okay? I mentioned on our prepared results. We had record design wins over the past year. Team did a great job. We're seeing record demand. We're on track to grow our data center revenue at or above 40% for the third straight year. And by the way, if I go back 4 years, 5 years, 10 years, this business has been growing at like 35%, 40%, 45% for a very, very long time, and it's going to continue to do that. In fact, for next year, we're looking at that growth accelerating closer to 50% next year, and we're driving the company to try to get this company to $15 billion of revenue next year. It's -- I've been doing this job for 10 years. The team has been incredibly dedicated and we have this massive opportunity in front of us. So as I said to Ben, who asked one of the great questions, we set some very ambitious targets for the company for calendar '28, fiscal '29. Almost 2 years ago, it looked crazy. We're on track. We're on track to achieve the goals that we set. This is the start of it. We're going to continue to update you guys on the progress of the company. And I want to end by just thanking all the Marvell employees for your focus, your commitment, and your commitment to our customers to drive the execution they're looking for, and our goal is to make Marvell one of the big winners in this once-in-a-lifetime episodic AI infrastructure build-out. So thanks, everybody, for your interest in the company. I'll see a bunch of you guys on the East Coast in New York next week.
Operator: Thank you. Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. Please disconnect your lines, and have a wonderful day.